Operator: Good afternoon, ladies and gentlemen. Welcome to Tucows Third Quarter 2013 Conference Call. Earlier this afternoon, Tucows issued a news release reporting its financial results for the third quarter. That news release and the financial statements are available on the company’s website at tucows.com under the investors heading. Please note that today’s call is being broadcast live over the Internet and will be archived for replay both by telephone and via the Internet beginning approximately 1 hour following the completion of this call. Details on how to access the replays are available in today’s news release as well as at Tucows’ website. Before we begin, let me remind you that matters the company will be discussing include forward-looking statements and as such are subject to risks and uncertainties that could cause the actual results to differ materially. These risk factors are described in detail in the company’s documents filed with the SEC. Specifically, the most recent reports on the Form 10-K and Form 10-Q. The company urges you to read its security filings for a full description of the risk factors applicable for its business. I would now like to turn the call over to Tucows’ President and Chief Executive Officer, Mr. Elliot Noss. Please go ahead Mr. Noss.
Elliott Noss: Thank you, operator and thanks everyone for joining us today. With me is Michael Cooperman, our Chief Financial Officer. As for our usual format, I’ll begin today’s call with an overview of the financial and operational highlights for the quarter. Mike will then review our financial results for the quarter in detail. And I will return with some closing thoughts before opening the call to questions. The third quarter was once again demonstrative of the consistency and reliability of our business as well as our ability to deliver growth. We reported our 14th consecutive record top line. Revenue for the quarter was $35.7 million, up 22% from the third quarter of last year. The wholesale domains business continued to perform well although it was generally flat in Q3 both year-over-year and quarter-over-quarter that includes revenue, transactions processed and names under management. We see this as the reflections of maturation of the industry, particularly in North America and Europe as well as a shift in market share from small and medium sized providers to larger retailers. We note our domain transactions from Asia, Africa and Latin America were up 43% year-over-year in the quarter although of course of a much smaller base. As I have described on previous calls, gross margin was dampened by a slowdown in registry rebates which were quite high last year and have seemed to slowdown in advance of the launch of new gTLDs. There also continues to be M&A activity across the hosting industry and within our channel. In the past quarter, three of our larger resellers have been involved in transactions. This level of activity is much higher than normal and although we see no change to these relationships in the short-term it does put the long-term future of their continued business at risk. The good news is that these partners combined, represent just 5% or so of the wholesale business which speaks to the breadth and strength of our channel. Looking ahead to next year as the noise is removed from the year-over-year comparisons we expect to return to growth in total registrations of 3% to 5% and more than that on a contribution basis with new gTLDs and some of the changes that will come along with that. Our domain portfolio business had a strong third quarter. I will note that the revenue numbers here includes a sizable contribution from a series of private arrangements related to the ICANN new gTLD program. In those arrangements we withdrew our applications for dot media and dot marketing and converted the remaining two applications into minority stakes in four others dot online, dot group, dot tech and dot store. As these were confidential transactions we can’t disclose the amounts involved. While these were unique transactions, we note that the portfolio business always contains a small number of high-value transactions and that this year has been markedly devoid of them until now. Outside of those activities, we saw a relatively normal quarter in network sales and a slower than usual quarter in July sales. With new leadership in the portfolio business we have seen some changes made and believe that the run rate business has come out of a trough and is now making its way back. Q3 was another strong quarter for our retail domain business. Hovers, once again delivered outstanding growth with revenue up 24% year-over-year and 23% sequentially. Customer growth also remained strong with an increase of 14% year-over-year. This underscores the strength of our differentiated value proposition and our customer experience, which are driving both retention and referrals. New transactions which include new domains, transfers and e-mail accounts grew nearly 50% compared to Q3 of last year, while renewals grew 20%. The renewal rate held steady at its healthy long-term levels. Transfers in were also solid and continue to significantly outpace transfers out. The Hover business is now well into its fourth year of great growth averaging comfortably over 20% per year in that period on the basis of its current value proposition. We have always identified the Hover business is trying to be ahead of the market and we feel that the time is right to think about what comes next. You will luckily see some changes in the coming quarters that will keep Hover rolling and help further enhance its place as a thought leader in the retail domain registration space. Ting, our retail mobile service had another fantastic quarter. We added 11,000 accounts and 16,000 devices our best quarter to-date to bring our totals to 36,000 accounts and 56,000 devices at the end of September. Customers added 1.5 devices per account in Q3 and we ended the quarter averaging 1.6 devices per account across our base. We continue to generate margins in our targeted range while maintaining customer acquisition costs well under $100. Our net promoter scores continue to be very high, evident of our ability to scale our customer service capability. As part of this commitment to our customers, we recently added additional support hours further strengthening the core Ting value proposition. Our Bring Your Own Device program continues to be an important driver of new customers for Ting. With about two-thirds of new accounts, bringing their own devices in third quarter, which I know is only the third full quarter that users have been able to bring their own device. This reduces our inventory and activation costs and more importantly greatly expands the selection of devices that customers can use with Ting. Just in the past couple of weeks, we have seen two exciting examples of how this program can accelerate our business. First, it has allowed us to quickly and seamlessly take our first steps into offering iPhone support. Starting at the end of October, customers have been able to bring over the iPhone 4 and 4S to Ting as part of a beta expansion of our BYOD program. So far, the response has been good and the process has been smooth. We are hopeful that we will be able to add the iPhone 5 sometime in the New Year. But from many of our customers, the 4 and 4S are wonderful, affordable devices that are readily available on eBay, Craigslist, a kiosk at the local mall and so many of the smaller marketplaces, both online and in the physical world. Second, we have discovered quite a bit of demand for the new Google Nexus 5 on Ting. The Nexus 5 launch is unique. And it was sold directly by Google in the Google Play Store. And the same unit can be used with any of the major carriers’ networks. Customers can use different SIM cards to easily move between providers and even between the CDMA and GSM networks. It further breaks down artificial barriers, but presents customers preparing their favorite device with their favorite provider. Again, the enthusiasm we have seen from our own customers and prospects indicate that this is a world where Ting will thrive and we are moving quickly to satisfy the demand. While Q3 was another record for both account and device ads, towards the end of that quarter, we did see the rate of growth in customer add slowed down just a bit for the first time since we launched in February 2012. We look at this from a number of different angles and our best hypothesis is that this was the result of Apple announcing new iPhone in early September. In an addition, you’ll remember, that iOS 7 launched at the same time. Last time, Apple announced the new iPhone in September 2012 we didn’t notice any effects, because we were growing so quickly on such a small base. Of course, we did commence some iPhone coverage at end of October and November and November and December are historically big months for the mobile industry. We are comfortable that Q4 will grow in the same range as Q3, but it may not be much above it. Looking out to 2014, we have felt that the two biggest contributors to accelerated growth at Ting would be the addition of the iPhone and continued build-up of Sprint’s LTE network. When we look at the reasons why potential customers do not come to Ting today and the rationale for the relatively small amount of churn we do have. Those two things, the absence of the iPhone and the current Sprint’s LTE network predominantly. Some of you may have seen Sprint’s announcement of their Spark initiative. This was encouraging and seemed to suggest both their huge [choice] of Spectrum and the new presence of SoftBank will help Ting going forward. Thus we are quite optimistic on both fronts. Before I turn the call over to Mike, let me provide a quick update on the new gTLD program. At the end of October, the first names under the program were added to the root zone of the domain name system meaning that they actually work when typed into a browser. While a noteworthy and historic milestone, this is only symbolic at this point not financially material. These were all internationalized domain names. The Arabic words for the web or network, the Cyrillic words for online and site and the Chinese word for game. As a reminder, in total, the new gTLD program will result in the expansion of top level domains from the current 22 to up to 1,400. Throughout the fourth quarter, some of the smaller niche Latin character top level domains will start their sunrise periods during which trademark holders complete registered names. Now that these names are real, we are starting to see the registries share the details of their contracts, APIs and marketing plans in earnest. We have no specific expectations that we are sitting for the program at this point in terms of its incremental contribution to 2014. And there was still much to evolve over the next coming months. But I do expect, when I am speaking to you the next quarter or two, more material information and details will start to emerge. I would now like to turn the call over to Mike to review our financial results for the quarter in greater detail. Mike?
Michael Cooperman: Thanks Elliott. Q3 saw another quarter of top line growth with revenue increasing $6.4 million or 22% to $35.6 million, up from $29.2 million from Q3 of last year. As Elliott noted, this marked our 14th consecutive quarter of record revenue. I would like to highlight that our Q3 portfolio revenue did benefit from the payments we received for its growing applications for the dot media and dot marketing streams and ICANN’s new gTLD program. As Elliott noted earlier, these payments were received in the context of a series of confidential private arrangements. So we are not disclosing the actual amounts received. Cost of revenues before network costs were $24.3 million, up $2.8 million or 13% from $21.4 million for the same quarter last year. The increase is primarily the result of higher sales of Ting devices and services as well as the higher costs resulting from the additional volume in other services. Gross margin before network costs increased by $3.6 million or 0.6% to $11.4 million from $7.8 million of Q3 of last year, primarily the result of the contribution from our growth of the dot media and dot marketing applications as well as the fact that Ting has now begun to contribute meaningfully to gross margin. As a percentage of net revenue, gross margin before network costs was 32% compared with 27% for Q3 last year. I would now like to walk through the gross margin performance in each of our three service categories. Gross margin for wholesale services, which includes domains and other value-added services decreased by $150,000 or 3% to $5.5 million from $5.7 million for the same quarter last year. The primary reason for this decrease was a decline in gross margin contribution from domain name services, which was down $200,000 or 6% to $3.4 million from $3.6 million from the third quarter of last year. As we highlighted last quarter there are two primary reasons for these decreases. One, certain marketing initiatives undertaken by both resellers and vendors in 2012 have either been significantly scaled back or canceled this year. And two, domain name margins have been impacted by certain of our customers acquiring their own registrar of accreditation and therefore no longer registering new domains on our platform. As a percentage of revenue, gross margin from wholesale services remained essentially flat at 23% when compared to the third quarter of last year. Gross margin for retail services which includes the contributions of Hover and Ting increased $1.4 million or 157% to $2.3 million from $900,000 in Q3 of last year. This increase is primarily due to our Ting customer base now being large enough that it is contributing more significantly to our gross margin performance and accounting for $1.2 million of the increase when compared to the third quarter of last year. Hover contributed the remaining $200,000 of the increase as we continued to attract new customers and increase sales to existing customers. As a percentage of revenue, gross margin for retail services was 34% compared with 30% for the same quarter of last year primarily the result of the much large contribution of Ting services in Q3 of this year compared to last. Gross margin from our portfolio group was $3.5 million, up $2.3 million or 191% or $1.2 million for the third quarter of last year. As mentioned earlier, the primary reason for the increase was the contribution for our growth of our dot media and dot marketing new gTLD applications. This increase was partially offset by lower sales of big ticket domains that we mentioned last quarter. On a percentage basis, gross margin from our portfolio group was 84%, down slightly from 86% from Q3 of last year. Turning to costs. Network expenses for the third quarter of this year were $1.4 million unchanged from the same period of last year. This result continues to reflect the improved efficiency we have achieved in operating and managing our co-location facilities and continues to allow us to keep our capital spend on network equipment at very modest levels. Total operating expenses for the third quarter were $6.3 million, up $2.1 million or 31% from $4.2 million for the same quarter of last year. Three factors primarily account for this increase, one, we invested in the incremental $1.2 million when compared to the third quarter of last year in workforce, marketing and other costs related to acquiring and supporting Ting. As a reminder, because our customer ads are still relatively large as a proportion of the overall base, our costs are relatively high as a proportion of revenue. These higher costs are a function of customer growth and the natural consequence of the success of Ting. As the size of the additions relative to the base continues to go down, these costs will become less significant. Two, the fair value adjustment on our expanding foreign contracts for the third quarter was a net gain of $200,000 compared to a net gain of $700,000 for the third quarter of last year. And third, we now believe that the annual incentive bonus target for this year ended December 31, 2013 will be achieved and have thus increased our accruals to account for this. As a percentage of revenue, total operating expenses increased to 18% from 14% for the third quarter of last year. Net income for the third quarter of 2013 was $2.6 million or $0.06 per share compared with $1.6 million or $0.04 per share for Q3 of last year. Again, net income for Q3 of this year included the contribution of the new gTLD related activities and our incremental investment related to Ting. Cash and cash equivalents at the end of the third quarter were $11.5 million compared with $6.5 million at the end of the second quarter of this year and $5 million from the end of the third quarter of last year. The $5 million increase in cash when compared to the second quarter of this year resulted primarily from our generating $3.7 million in cash flow from operations. In addition, we generated an additional $2.2 million from the exercise of stock options. This generation of cash was partially offset by our repaying of $600,000 on our credit facility and investing $170,000 in equipment purchases. Deferred revenue at the end of the third quarter of this year was $72 million, down 2% from $73 million at end of Q3 last year and down 1% from $73 million at the end of the same quarter of this year. This largely reflects the impact of customers who’ve acquired their own accreditation and are no longer registering new domains on our platform. In summary, the third quarter once again demonstrated our ability to build up a consistent and reliable performance in the context of growth. Our ongoing investment to support customer acquisition and services continues, while dampening profitability in the short-term is clearly yielding the intended results. Ting remains well-positioned to achieve its first breakeven months during the fourth quarter and to generate the positive contribution to our results in 2014. And with that, I would now like to turn the call back to Elliot.
Elliott Noss: Thanks Mike. As many of you have seen, in September, we filed a preliminary proxy statement seeking approval of a proposal to grant the Tucows board the discretionary authority to affect a reverse split of our stock. There are number of reasons we are pursuing the stocks, but not only will expand our universe of potential investors and equity analysts many of which have internal policies against investing in or recommending low priced stocks but it will also provide us with greater capital markets flexibility expanding the opportunity to list on alternative exchanges such as NASDAQ that may be more in line with the nature of our company and our market capitalization. Moreover shareholders should benefit through less volatility in our share price, lower transaction costs and greater liquidity. Ultimately, we believe the reverse split that support our overriding objective to deliver the long-term value to our shareholders as we continue to deliver consistency and reliability from our business while capitalizing on meaningful growth opportunities such as Ting. Our filing contemplates a revere split in the range of one for three to one for six, the exact ratio to be ultimately determined by the Board at the time of implementation. The Board believes that the approval of a range of potential ratios is in the best interest of shareholders, as it allows for flexibility within the context of the prevailing market conditions at that time. We have been asked about liquidity concerns during the smaller number of shares in the float post transaction. We believe the relevant variable is transaction size, not number of shares in the float. And a board log poster reverse split will still be in the high three to low four figures. We are not concerned about supporting smaller transaction sizes. The final proxy and notice of meeting was filed in mail to shareholders in October with the meeting to consider vote on the proposal scheduled for Wednesday, December 4 at 4:30 PM at Tucows offices. Should the proposal be approved the Board will also effect the rule of reverse split shortly thereafter. On our Q1 call in the context of the consistency we have achieved in our domains business as well as the growth and success of Ting, we initiated guidance for each of these pieces of our business. In Q2, we favorably revised that guidance to account for the contribution from the new gTLD transactions as well as the bump in our investment in Ting to further leverage the momentum there. This quarter based the results to-date and our forecast for the remainder of the year, we are again up in our expectation for adjusted EBITDA in the domain business to $12 million from $11 million. And we remain comfortable with the expectation that our investment in Ting will be roughly $2.5 million. It is worth reiterating our stated long-term objective to return capital to shareholders. We believe that Ting provides more opportunity to invest in growth than we’ve had in the past few years but that two count shares continue to represent excellent value. And with that I would like to open the call to questions. Operator?
Operator: (Operator Instructions) Your first question comes from Hubert Mak from Cormark. Your line is open.
Hubert Mak - Cormark: Hey guys.
Elliott Noss: Hi Hubert.
Hubert Mak - Cormark: Hi just on Ting firstly it looks like you guys are adding a very good subscribers for the quarter, if you are looking a market there seems to be a lot talk about the T-Mobile being very aggressive pushing into market. I know these guys are more incumbent carriers, but they are certainly pushing with the MetroPCS and AT&T does also with IO and also they are acquiring cricket, so can you just talk to the competitive environment and how are you guys seeing that whether it’s impacting you right now, or maybe in the future and how you guys are managing that risk.
Elliott Noss: It’s still when we are talking, talking generally T-Mobile in particular we are thinking competitively, we are still really focused on AT&T and Verizon. But still 200 million customers and we really think that the more attention that gets paid to potentially leaving big carriers the better that serves us. So when something like IO, which is coming from AT&T itself you really sort of buying the same thing at a lower price if you are willing to accept the different name. It really – we think just waste people up to some of the disadvantage of some of the overpaying that is going on with incumbents. So we love that stuff. With T-Mobile in particular I think that a lot of the things that they are doing are reaffirming for us in ways. I would say that a great example is the way that at least they talk about the phone subsidy. No, we don’t necessarily think that, that sort of that monthly financing is really much different, because you are still locked in for periods while you are kind of paying off those monthly rates. It’s kind of loan by another name. But it is reaffirming around the trends that we think that we are kind of in front of. And the T-Mobile competitively and again I think they are being quite creative in a number of ways. Their network is worse than Sprints and where we do tend to get challenged competitively most is around the network. So we don’t see T-Mobile as much of a concern there.
Hubert Mak - Cormark: Okay. And you guys commented in terms of looking at breakeven at this coming quarter in Q4, first of all, is that with the subscriber base that you have got already or do you need to continue add or basically concerning the additional subscriber adds in Q4? And going forward, how do you see the leverage here coming through in terms of like the OpEx? Is that do you think that’s going to continue to increase like it looks like OpEx this quarter was $6.5 million or $6.3 million sorry, so where do you think that’s going to go up to as you move forward?
Elliott Noss: So first what we are – we are talking about some turning into breakeven and then into contribution. That’s sort of on a monthly basis, not on a quarterly basis. That is again, that just looks like it’s that it’s in sight. And really at that point, let me kind of have our hand on the dial to how aggressive we want to get in terms of experimenting around different forms of marketing customer acquisition. In terms of leverage, I can tell you that as we talked about the sort of the costs, scale around growth in subs. And so with a set amount of growth for every new sub we added the customer acquisition cost and that’s some $100 number. Then the customer service, we intend to continually have to scale again with the rate of customers that we are adding. I can tell you that my, what I’ll call, my macro model shows me pretty clearly that the faster we grow, the more money we spin off. There is – so it’s really kind of we are almost routing to I’d love to grow so fast that we take the thing back down into costing us dollars, we don’t think it’s quite going to be that fast, but we are really at this point, it’s really about growing the base, because the customer payback is so attractive. It’s an investment that I would make as often as I could.
Hubert Mak - Cormark: Okay. And then just switch over to domains, I don’t know if I misheard, but can you just – I think it is just 3% to 5% growth for domains, is that right?
Elliott Noss: Yes, that’s right.
Hubert Mak - Cormark: Okay. And when do you think that’s going to hit that, is that next year or is that actually in Q4 given that we are in November now, and is that where you are seeing?
Elliott Noss: You know, November, again still -- we saw some of the year-over-year comparisons still have (inaudible) factors that we continually talked about, so it’s really when we are thinking about that, we are talking about that through the course of next year. So it’s not sort of in any one specific quarter, but really over the year.
Hubert Mak - Cormark: Okay. So next year, you are thinking the company is going to return to 3% to 5% rate and that’s excluding any new gTLD?
Elliott Noss: That’s right.
Hubert Mak - Cormark: Okay. And just in terms of, I guess, the guidance that you guys are sort of talking to where EBITDA moving $11 million to $12 million for domain business. Is that excluding sort of the payments that you got from the dot media and the dot marketing?
Elliott Noss: No, that’s including them. We feel that this year we have seen the sort of the large – we had large portfolio transactions, really each of the last number of years that probably go back to ‘07 or ’08, and this year that number has been markedly lower. And we feel comfortable that that’s something that when you sort of look at it over the course of a couple of years, it evens itself out quite nicely, so that includes.
Hubert Mak - Cormark: Okay, so if we are looking for say -- what kind of run rate do you think will, for just a peer portfolio in terms of the ones that you used to selling domain names, do you think that we are trending back towards $1.3 million, $1.5 million# this quarter?
Elliott Noss: Yes, are you [saying one point] (ph) that’s top line?
Hubert Mak - Cormark: Yes, in the revenue.
Elliott Noss: I don’t know if it’s quite there, but I want to say trending north of $1 million.
Hubert Mak - Cormark: Okay, I will pass the line.
Elliott Noss: Okay, Thanks.
Operator: Your next question comes from (indiscernible). Your line is open.
Unidentified Analyst: Hi good evening.
Elliott Noss: Hi.
Unidentified Analyst: I’d would love to please get a deeper understanding on how Ting is a win-win (inaudible) Sprint and as Ting matures , how can it become increased in value at Sprint in the years ahead?
Elliott Noss: Sure. We feel there are a few things that you really want to focus on here. The first is that over 70% of the customers that we add are coming from carriers other than Sprint, so this is just net win. These are people who were not on the Sprint network yesterday that are now there today, and of the 20 and change percent, high-20% that are existing Sprint customers, there is a portion of them that are saves. So these are people that are either dissatisfied with Sprint, potentially their customer service or that they have made a decision to move from sort of the higher price of the incumbent to some of the lower price either kind of pay for what you use or prepaid in the MVNO space, and so for somebody that’s already made that decision, we are again essentially a save for Sprint, and even for that last chunk of customers that are just flat-out competitive wins, Sprint to us, it’s we believe the case than the (inaudible) number of others who do as well, but Sprint actually makes more money on a wholesale subscriber like ours than they may on a retail subscriber, and that is because we are extremely efficient around customer acquisition and customer service, so if you kind of put all of that together, we are a very, very profitable customer for Sprint.
Unidentified Analyst: And with the relationship that you have with Sprint, is it exclusive or you can potentially replicate the model with other carriers in the future?
Elliott Noss: We don’t go into a lot of details there. But I mean it’s – I think there are two things. It’s never impossible to deal with other suppliers, and we have got a great relationship with Sprint, one that we are very happy with, and we -- as I mentioned earlier in the call, we think they are doing great things with the network. Probably most important and this is something we haven’t talked about in a couple of years, we are – we have a large part of our business that’s wholesale. And we really pay a lot of attention to what we view is the wholesale [athos] (ph), and Sprint really at this point uniquely among the carriers has a wholesale group that really does understand what it means to be a wholesale supplier. It’s not just some small little satellite group that’s kind of forced to give into retail at every turn, and that’s very, very important when you are an MVNO like us.
Unidentified Analyst: And then a last question, I am noticing on the Facebook page for Ting, there is an animated image of the adoption across the U.S. Colorado and Minnesota seem to be very good early adopters. I am wondering what about these two regions have made it translate so well, and if it’s applicable nationwide?
Elliott Noss: Yes, we’ve joked here before that the Sprint customer map looks kind of like the Obama election map plus Texas, and you are really seeing that centered in a lot of the university towns in particular, in Colorado and Minnesota. You can almost bet that's kind of Denver and Boulder and then kind of Minneapolis etcetera, and we attribute that to the fact that our customers are shrewd or clever or savvy and really kind of get the change in business model. Again, one of the early comparisons we used to make for our customers was they were a lot like Zipcar customers. They are – they get the advantages that we are offering, and they are not afraid to – they are comfortable trying a different approach to the business model. So we think it’s – these are a lot of people who are quantified sales people or informed customers, and that’s where it really comes from.
Unidentified Analyst: Okay, thank you so much.
Elliott Noss: Thanks.
Operator: Your next question comes from Aram Fuchs from Fertilemind Capital. Your line is open.
Aram Fuchs - Fertilemind Capital: Yes, it’s Aram Fuchs. I am just trying to dig into the portfolio business, and you have – you just released your ‘Q’ here, there is an increase in the COGS here. Was that related to this gTLD withdrawal payment or is that something new?
Elliott Noss: Yes, that’s right.
Aram Fuchs - Fertilemind Capital: It’s related to the withdrawal payment, okay. And last quarter you said there is a little hiccup in that business with Bill Sweetman moving, if you separate out this withdrawal payment, I am just curious how is the monetization in the Expiry stream going if you slice and dice it between (inaudible) and normals? How is that going?
Elliott Noss: There is really a couple of things. There is sort of a couple concepts -- I am going to kind of answer to that as you have asked me about the Expiry stream, and we will put more if you like. So with the Expiry stream, we have had our deal of a couple years expire or end. And we don’t yet have a long-term deal replacing it. We certainly are continuing to monetize and sort of sell big groups and names in the expiry stream, but that segment suffers from a lot of the same struggles that sort of here some companies talking about change in the Google algorithm, and then another trend that hurts the expiry stream there is the rise in Chrome as a browser, because Chrome as it continues to pick up market share, it takes away from type-in traffic for part domain names, and it’s that underlying sort of revenue generation part domain names that creates the pricing in the Expiry stream. So things are okay there, but there is generally a secular downward trend there.
Aram Fuchs - Fertilemind Capital: Got it, okay. And then on Ting, you mentioned that a large fraction of your customers, I think it was two-thirds you said are now bringing their own devices.
Elliott Noss: That’s right.
Aram Fuchs - Fertilemind Capital: Given that, I thought that the small subsidy offered on the device was the main cost of acquisition. I am curious if the cost of acquisition is going down or you are experimenting with PPC or something else?
Elliott Noss: No, no. So, a couple of things there. First, the subsidy would be relatively transient, so as we use a subsidy, that really connotes sort of charging less than we pay for a device. And there at times, we would charge $10 less, maybe on the odd device $20, but just as often we charge what be paid or even $5 more. The cost of a device that we are selling has more to do with shipping and flashing in the pick and pack than it does really with kind of that subsidy. And in addition, really the main cost, I mean, there is all of those costs, but the main cost is the marketing we offer, so around the refer a friend discount codes and remember that more and more every quarter, larger and larger percentage of our ads are coming from our internal referral program, which we are thrilled about. We’d love to see that continue to grow and that deal is $25 for the incoming customer, a $25 savings or benefit for the referring customer, and first time you refer that’s bumped up by another $25, so that as it grows in percentage is a part of it. In addition, there is the similar discount code that our podcasters offer. So when we are talking about that cost of acquisition, it’s the cost of all the podcast marketing, it is the cost of those referral codes and discount codes that are – certainly the single largest portion there.
Aram Fuchs - Fertilemind Capital: Got it…
Elliott Noss: And that being said, there is definitely a savings for us as more and more BYOD relative to the purchase comps, but it’s not that big.
Aram Fuchs - Fertilemind Capital: Right it’s only that itty-bitty subsidy that you might be giving off the MSRP.
Elliott Noss: Yes.
Aram Fuchs - Fertilemind Capital: Or of your wholesale costs?
Elliott Noss: Well no, and the savings in the shipping and things like that, right.
Aram Fuchs - Fertilemind Capital: Okay, I noticed for the first time since I have been following you which is longer than I can remember, you had 3.511 million shares exercised in stock options, that’s the most I think I have seen. Thinking of a reverse split, obviously the share buybacks have been successful assuming this free cash flow is sustainable. With all this going on, what are your thoughts with that giving us direct information about share buybacks versus dividends and then capital allocation possibilities?
Elliott Noss: So, I think there are a couple of things I would say there. First of all, we being around long time, our option program is very, very old. We have a number of options expiring. If you dig it a little deeper, there probably is a fund the bulk of that was that Mike and I from our original stuff going back to 1999. So those are really, really old options. The second point I want to make upfront is as we have dug into it, it’s very, very difficult for us to pay dividends. And the primary reason is we have fairly large portion of the shareholder base that are Canadians. And the Canadian treatment of foreign dividends from a tax perspective is terrible. We can go offline and I can give you the gory of details, but it’s worse than ordinary income in a lot of respects. Now, turning to capital allocation I think that I have mentioned it on the call that we continue to view returning capital as a strategic and I said that even though we have – even though we have more opportunity for kind of growth opportunities than we have had in years, we still believe that. And so I think that that's kind of probably as much as I want to say on the call. And you know that my practice is really to try and be as clear about that stuff as possible.
Aram Fuchs - Fertilemind Capital: And then (indiscernible) you never really communicated (inaudible) what liabilities or what the capital costs might be if you actually the common equity. If one of your applications is successful, what capital contributions are there I mean what in terms of physical plan equipment in terms of labor what is the cost to start one of these things.
Elliott Noss: Yes so they would be very different depending on the string that’s the first thing I'll say down the line it clearly looks to be one of the most exciting strings that might come out of the program. And that will have a different capital cost and that’s primarily now when I am talking about differences among strings I am talking about the cost in an option or some other arrangement. But at an operating level I think that you’ll find whether it is really any of our applications where we are kind of minority partners in all of them [I will tell our] partners of a very experienced in the industry. There is not a lot in the way of incremental capital cost. So really it will be much more of acquiring strings at an operating level we think you will notice much there.
Aram Fuchs - Fertilemind Capital: Great. Thanks a lot.
Elliott Noss: Thanks Aram.
Operator: (Operator Instructions) Your next question comes from (indiscernible) from DCM. Your line is open.
Unidentified Analyst: I’d like to actually follow up on the 11,000 new accounts, how many of those accounts are coming from the iPad – from the iPhone please?
Elliott Noss: Well, in fact that would be zero, because we didn’t start having the iPhone available until very late in October, last couple of days in October. So that will be Q4 and I should note that we have – that’s a beta and it’s one that we are not doing very much promotion for at all. We have done some small amount of communication that I wouldn’t even call promotion into our existing customer base. It’s really more about just letting people know. So it’s not – you will see numbers that are in terms of our iPhone penetration, you combine the fact that it’s just beta for now and that there is no 5 or 5S or 5C that we are able to support. And it’s going to be very small relative to other carriers at this point.
Unidentified Analyst: Any comment if there is a waiting list or if there is any late demand that you have seen, please?
Elliott Noss: When you say waiting list, what do you mean?
Unidentified Analyst: People who expressed interest in signing up once the offering is covered.
Elliott Noss: Well, we certainly – the way that we have gathered interest, there is more of iPhone in general as opposed to sort of I am interested, but only if it’s a specific model. So there is no real waiting list per se in that sense. And you can sign up on the website for information around the iPhone in particular or around the couple of other specific things and track. And I was very pleased to hear you are referencing things off the Facebook page. It’s a great way to keep abreast of all that stuff. If there is something specific around that, that kind of a customer and operating level, you’d like to see and love to hear.
Unidentified Analyst: Yes, I am calling you from an iPhone using Ting, so I am a very happy customer and the service is phenomenal. So we are commercial in there. So thank you so much.
Elliott Noss: Love to hear it, thank you.
Operator: (Operator Instructions) We have no further questions at this time. I turn the call over to the presenters.
Elliott Noss - President and Chief Executive Officer: Thank you very much and we look forward to speaking with you again next quarter. This concludes today’s conference call. You may now disconnect.